Operator: Good day, ladies and gentlemen and welcome to the Twitter Second Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. (Operator Instructions) As a reminder, this conference call is being recorded. I would now like to introduce your host for today’s conference Krista Bessinger, Senior Director of Investor Relations. Ma’am you may begin.
Krista Bessinger: Thanks, Sam and good afternoon. Welcome to our Q2 earnings call and thank you for joining us. We have with us today our CEO, Dick Costolo; Current CFO and SVP of Strategic Investments, Mike Gupta and incoming CFO, Anthony Noto. We'll begin with approximately 15 minutes of prepared remarks followed by Q&A. During the Q&A, we will take questions submitted via Twitter in addition to questions from conference call participants. Questions submitted via Twitter should be directed to @TwitterIR using the #TWTRearnings. We'd like remind everyone that we will be making forward-looking statements on this call, such as our outlook for Q3 and 2014 and our operational plans and strategies. Actual results could differ materially from those contemplated by our forward-looking statements, and reported results should not be considered as an indication of future performance. Please take a look at our filings with the SEC for a discussion of the factors that could cause our results to differ materially. The forward-looking statements on this call are based on information available to us as of today's date, and we disclaim any obligation to update any forward-looking statements except as required by law. During this call, we will discuss certain non-GAAP financial measures. Reconciliations to the most directly comparable GAAP financial measures are provided in our earnings release. These non-GAAP measures are not intended to be a substitute for our GAAP results. Also, please see our earnings slide deck posted on our IR site for additional information about metrics we will discuss on this call. An audio replay of this call will also be available via Twitter and on our Web site in a few hours. And with that, I would like to turn the call over to our CEO, Dick Costolo.
Dick Costolo: Thanks, everyone for joining us this afternoon. We had a strong quarter. We made progress on multiple fronts across the business and our financial performance was truly exceptional. I would like to run through a few highlights here and then we can dive into the details. We generated $312 million in revenue which represents 124% growth on a year-on-year basis, that’s our fourth consecutive quarter of accelerating revenue growth. Ad revenue growth also continues to be remarkably strong, and accelerating to 129% year-over-year. That growth is primarily driven by higher engagement which translates into improved ROI for our marketers. Our monthly active users also grew to 271 million in the quarter, an increase of 16 million, the highest number of absolute net new user adds in five quarters. And then finally, we generated $54 million in adjusted EBITDA, more than doubling margins year-over-year to 17%. Later on the call, Mike will provide more details on this past quarter’s results and Anthony will talk more about our going forward outlook. I would like to start by talking a little bit about the progress we are making on our consumer products. First, during the World Cup, we delivered a kind of events experience that I have wanted to see from us for some time. We served up tailored experiences for each individual match and for the overall World Cup and these experiences felt alive. They felt wonderfully complementary to the matches themselves. That has given me confidence that we can create great user experiences by organizing content around topics and live events. Second, we have a team focused specifically on building a fast and frictionless Twitter experience for users in geographies with sub-optimal connectivity. We are seeing really positive results from the work there and I am excited about our growth opportunity in developing markets around the world. I want to continue to highlight the reach and impact of Twitter across the mobile landscape beyond our owned and operated properties. As one example, during the Germany-Brazil World Cup game alone, we had approximately 2 billion Tweet impressions off of Twitter in addition to the 4.4 billion impressions on Twitter’s owned and operated properties. So, it’s nearly 6.5 billion impressions in a single match, highlights the continued expansion of our global reach and impact. And beyond our 271 million monthly active users, there are hundreds of millions of additional unique visitors who come to Twitter every month but don’t log-in. When you consider the combination of monthly active users and unique visitors, the size of our audience on our owned and operated properties is two to three times that of just our monthly active user base, which we believe ranks us among the top-10 largest digitally connected audiences in the world. We have started to experiment with improving the experience for this group of unique visitors. Profile pages are an example of the limited content we offer to unique visitors who come to Twitter and don’t log-in today. In the last quarter, we improved profile pages to make them more engaging, more visually appealing to everybody who comes to Twitter, whether they are logged-in or logged-out. And we will run experiments and continue to run experiments to improve the overall experience for logged-out unique visitors. To be very clear, our central focus remains on improving product experiences for our monthly active user base. But make no mistake, our total audience and reach represent a significant opportunity and we will continue to invest in maximizing the size of our audience. We are already the world’s real-time information network and by giving everyone the best of Twitter, no matter where or how they consume our content, logged-in as unique visitors or in syndication we will position ourselves to reach the largest audience in the world and every person on the planet. I want to conclude my introductory remarks by expressing my personal thanks for Mike, who as you saw will be transitioning from the CFO role into a new one, heading the Company’s strategic investments. I am excited obviously for Mike and for the Company as he takes on this new challenge. And we have also brought on a stellar individual in our new CFO Anthony Noto, who will join us for Q&A and looking forward guidance. Mike and I had the good fortune to work closely with Anthony during our IPO process and we are lucky to now get to work day-to-day with him in-house. With that I will hand it over to Mike to jump into the financials.
Mike Gupta: Thanks, Dick and good afternoon everyone. I will discuss our financial and operating performance for Q2 and then hand it over to Anthony to cover guidance before we open the call for your questions. Q2 was another very strong quarter for Twitter with continued acceleration across both total revenue and ad revenue on a year-over-year basis. Total revenue reached $312 million, up 124% from the year ago period, faster than the year-over-year growth we saw in the prior three quarters. Ad revenue reached $277 million, up 129% from last year. This is the highest rate of year-over-year growth that we have seen in advertising revenues in the last six quarters. Strength in our advertising business is broad-based across all channels and geographies with particular strength in international markets due to strong advertiser demand around the World Cup. Our promoted products continue to deliver high levels of engagement and marketers are increasing budget and spending in response to the ROI that they are seeing on our platform. In Q2, international revenue accounted for 33% of total revenue, up 168% year-over-year. We now have a sales presence in more than 40 countries around the world. And we see a significant room for international revenue growth as we continue to expand the direct sales, sales support staff, reseller efforts and the continued roll-out of our self-service advertising platform. In Q2, we introduced self serve ads in three new countries Spain, Israel and South Africa. While self-serve advertising touches less than 40% of our global user base today, we intend to roll-out our self-serve platform to many more countries over the course of the year. Mobile also continued to be a strong driver in the quarter with 81% of total ad revenue generated from mobile devices. This is up from 67% in the prior year. Data licensing and other revenue contributed $35 million in the quarter, an increase of 90% year-over-year. This line item includes significant contributions from both our mobile ad exchange and the Gnip data licensing business. Turning to expenses, unless otherwise noted, my comments will focus on our non-GAAP financial measures which excludes stock-based compensation, amortization of acquired intangible assets and income tax effects related to acquisitions. For the GAAP financial measures as well as the reconciliation between the non-GAAP and GAAP financial measures, please refer to our earnings release posted on our IR Web site. In Q2, total expenses were $296 million, up 94% year-over-year. The increase was driven primarily by headcount and related overhead cost as we continue to invest in our workforce, scale our business and drive continued product innovation. We ended the quarter with approximately 3,300 employees. Operating expense by line item was as follows; cost of sales for the second quarter was $80 million, R&D costs were $85 million, sales and marketing costs were $101 million, and general and administrative costs were $35 million. This resulted in adjusted EBITDA for the second quarter of $54 million compared to $10 million in the prior year period, representing an EBITDA margin of 17% in Q2, more than double year-over-year. Non-GAAP net income was $15 million in the second quarter, up from a non-GAAP net loss of approximately $16 million in the same period a year ago. Our GAAP net loss in the second quarter was $145 million which includes $158 million of stock-based compensation expense. Before turning to metrics, I will cover a few items related to cash and CapEx. We ended the quarter with roughly $2.1 billion of cash and marketable securities. Cash flow from operations is $82 million and CapEx was $75 million, $31 million of which was financed through capital leases, the remaining 44 million was purchased outright. Now I would like to turn to our operating metrics, as Dick mentioned, ongoing product improvements are continuing to drive growth across all key metrics including users, engagement and monetization. First on users, we saw improved growth in monthly active users in the second quarter with average MAUs reaching 271 million, reflecting 16 million net additions, up from 14 million Q1. We saw strong growth in both U.S. and international markets. U.S. MAUs reached 60 million, reflecting 3 million net additions in the second quarter, consistent with the 3 million net additions we saw in Q1. And international MAUs reached 211 million, reflecting 13 million net additions, up from 11 million net additions in Q1. Timeline views increased to approximately 173 billion, up 22 billion or 15% from the same quarter last year and up 16 billion or 11% from the first quarter. Timeline views per MAU were also up modestly quarter-over-quarter. Note, that these timeline view metrics do not include the curated World Cup experience that Dick spoke about earlier. Going forward, we will continue to improve the product to make it easier and more efficient for users to find the content they are looking for. As we succeed in doing this, we expect to see the current trend of year-over-year declines in timeline views per MAU to continue along with improving interactions for timeline views consistent with what we have seen in recent periods. Switching to monetization, ad revenue per 1,000 timeline views continues to accelerate, reaching $1.60 in Q2, up 100% year-over-year and up 11% sequentially. U.S. ad revenue per 1,000 timeline views reached $3.87, up 79% year-over-year. And international ad revenue per 1,000 timeline views reached $0.75, up 152% year-over-year. We continue to see steady improvement in monetization and we expect those trends to continue. We do not see any structural reason that the levels of monetization for our monthly active users can’t reach or exceed that of our industry peers overtime. In Q2, ad revenue grew 129% on a year-over-year basis, despite a 35% decline in cost per ad engagements. The increase was driven by total ad engagements which grew more than 250% year-over-year, reflecting higher quality ads, improved prediction and targeting and the increased use of rich media by advertiser. On a sequential basis cost per ad engagement increased 18%. This is our first increase in reported CP that was due impart to strong advertiser demand around the World Cup and a mix shift towards higher performing and higher priced ad units. Ad engagements also increased 4% quarter-over-quarter, significantly improving overall yield. Before turning it over to Anthony for the financial outlook, I want to take a moment to say thank you. As Dick mentioned, I will be transitioning out of the CFO role to head up Twitter’s strategic investment arm. Over the past few weeks, I have been working closely with Anthony to ensure a successful transition. I am looking forward to starting my new role and importantly I continue to be optimistic about the future of Twitter. With that, here is Anthony.
Anthony Noto: Thank you, Mike. I am incredibly excited to be here and it’s a privilege to be part of the Twitter team especially given the opportunity in front of us. I want to highlight a couple of recent initiatives on the advertising front before turning to guidance. We have had great success in advertising, helping fuel our growth has not only been the success of our existing products, but also the steady pace at which we have brought new advertising products to market. Our innovation continues. Just a few weeks ago we announced the general availability of our mobile app promotion suite both emerging apps as well as brands in highly competitive categories are seeing great results. In August, we will launch the beta version of our new promoted video offering which provides a way for high quality content producers and brands easily upload, share and measure the distribution and effectiveness of their video content on Twitter. And finally, we have closed the acquisition of TapCommerce, an important asset we have added to our mobile ad technology stack. Now with our existing ad tech stack, we can help advertisers drive conversions and ROI with mobile consumers on and off of Twitter. With that I want to now switch to outline our guidance for Q3 and the full year of 2014 then Dick, Mike and I will take your questions. For the third quarter of 2014, we expect total revenue to be in the range of $330 million to $340 million with an adjusted EBITDA in the range of $40 million to $45 million. We also expect stock-based compensation expense in the range of $180 million to $190 million. For full year 2014 for total revenue, we are raising our range to $1.310 billion to $1.330 billion which is $95 million above our previous range at the midpoint. The increase in revenue guidance for full year of 2014 reflects our Q2 outperformance and our increased expectations for the remainder of the year. Moving onto adjusted EBITDA, stock-based compensation and CapEx, we are raising our range for adjusted EBITDA to $210 million to $230 million. We continue to expect stock-based compensation expense to be in the range of $640 million to $690 million. We continue to expect CapEx to be between $330 million and $390 million. With that, I would like to take your questions. Operator, if you would please announce the first question.
Question:
and:
Operator: Thank you. (Operator Instructions) Our first question comes from Anthony DiClemente of Nomura. Your line is now open.
Anthony DiClemente : Two questions, one for Dick and one for Anthony, Dick you talked in your prepared remarks about the growth of off-network. So how big Twitter can be over and above kind of just the existing Twitter users? And I just wondered you talk about impressions, if you could talk a little bit about what that contribution could be in terms of revenue perhaps what off-network revenue was in the quarter? And then just thinking about how should I, how should we think about revenue per user in the context in fact that’s probably more -- probably an increasing percentage of your revenue is coming from off-network? And then Anthony if I may, you were at the NFL, one of the biggest media enterprise in the world, you’ve been a media analyst, you’ve been a media Internet banker, we’d just love to hear you talk about the opportunity that you see for Twitter as a media company as opposed to Twitter as a social network perhaps? And then within that, where do you see the curation of content fitting into that equation for example reverse chronological on the timeline do you think that changes and where do you see Amplify fitting into Twitter’s media strategy? Thanks.
 Nomura Securities: Two questions, one for Dick and one for Anthony, Dick you talked in your prepared remarks about the growth of off-network. So how big Twitter can be over and above kind of just the existing Twitter users? And I just wondered you talk about impressions, if you could talk a little bit about what that contribution could be in terms of revenue perhaps what off-network revenue was in the quarter? And then just thinking about how should I, how should we think about revenue per user in the context in fact that’s probably more -- probably an increasing percentage of your revenue is coming from off-network? And then Anthony if I may, you were at the NFL, one of the biggest media enterprise in the world, you’ve been a media analyst, you’ve been a media Internet banker, we’d just love to hear you talk about the opportunity that you see for Twitter as a media company as opposed to Twitter as a social network perhaps? And then within that, where do you see the curation of content fitting into that equation for example reverse chronological on the timeline do you think that changes and where do you see Amplify fitting into Twitter’s media strategy? Thanks.
Dick Costolo: Thanks, Anthony, this is Dick. So as regard to your first question which was in relation to my prepared remarks about our reach and impact off of Twitter and the World Cup impressions in syndication and then the size of the logged out audience, I will say this: we see that as a big opportunity obviously. Why are we sharing all that information with you now? One is we’ve made changes we like to the profile pages that make them more engaging and visually appealing and that has led us to be excited about other experiments that will be running for those audiences and those -- as those changes become more visible to you, I want you to have context for why you are seeing them vis-à-vis revenue contribution of those audiences, we’re focused 100% on user experience today and we are not monetizing those audiences. As we eventually think about that, it will probably over the long term in the context of the way we same kinds of ad units we deliver to our own network logged in users but we are focused right now on leveraging the content that’s created by the majority of those 271 million monthly active users that come to the site to create the appropriate experiences for both the unique visitors and syndicated audience.
Anthony Noto: In terms of the opportunity for Twitter, I wouldn’t try to characterize this as a media company, or a technology company, the bulk of our employees are technology people and so we’ve always said that we are a technology company first and we are using a very simple format with a very complicated technology to be able to become the largest information network in the world. And I came here with one belief and since being here, that belief has only been reinforced and that’s that we can build the largest audience in the world. Dick talked about that in his prepared remarks and that’s something I came here believing was the case and I believe it more now that I have been here for five weeks. To your point about curation fit, what I would say is Dick made some comments about tailored audiences and tailored audiences are challenging to do and the company has did a enormously successful job as it relates to the World Cup in creating a tailored experience for those that were interested in it to really drive engagement. I think Twitter is unique in that most technology companies disrupt other industries and disrupt other business, but Twitter actually makes other companies and other brands better than it otherwise be. I think that’s a unique complementary nature of our information network that really makes us partner with so many types of companies which increases the amount of information we have and content which aggregates a larger audience and it just continue that virtual cycle. As it relates to the third part of your question Amplify fit, Amplify is a great example how Twitter makes other companies and brands better. Amplify allows us to partner with TV companies or content creators, increase the tune-in to their audiences. One example you mentioned the NFL, last year Twitter created a partnership with the NFL help drive tune in. This summer their games during the week that were less viewed or there was a lower awareness of the product beyond being on days other than Sunday and Amplify is the perfect example of how we can increase that tune-in, create a bigger audience for the content producer and the content licenser which drives more advertising dollars ultimately it will pay more for that content and that content producer want to partner with Twitter.
Operator: Our next question comes from Douglas Anmuth of JPMorgan. Your line is now opened.
Douglas Anmuth : First I was hoping that you could just comment on the trajectory of MAUs through the months of 2Q and then you talked about how it’s more products and the experiences rather than the World Cup itself, but how do you maintain some of the new users that may have come in around that event? And then can you also just comment on your early thoughts on commerce on the platform and how that’s rolling out through cards at this early stage how successful that’s been? Thanks.
 JPMorgan: First I was hoping that you could just comment on the trajectory of MAUs through the months of 2Q and then you talked about how it’s more products and the experiences rather than the World Cup itself, but how do you maintain some of the new users that may have come in around that event? And then can you also just comment on your early thoughts on commerce on the platform and how that’s rolling out through cards at this early stage how successful that’s been? Thanks.
Dick Costolo: Sure Doug. Thank you. On the trajectory of MAUs we don’t give a perspective on each monthly MAU number but on overall quarter as mentioned we’re quite pleased with the outcome of 60 million new monthly active users sequentially, but the thing I would note which needs to be clear is that the World Cup itself didn’t really add to the MAU net ads it helped drive engagement and it is a product that is really focused on engagement the way we have positioned it now. So in terms making end users you don’t really see that we benefited from new MA user growth because of the World Cup. The last question you asked was about commerce I think Nathan Hubbard is leading that charge for us we’re excited about it commerce has been occurring on Twitter for some time even before the initiatives that Nathan is behind. We recently completed the acquisition of CardSpring which is an important proportional platform so it complements our commerce strategy and we’re very excited about the opportunities lies ahead of us and we’ll give you further updates as they occur.
Douglas Anmuth : Thank you.
 JPMorgan: Thank you.
Krista Bessinger: Great, thank you. And the next question comes from the Twitter account of Colin Sebastian at R. W. Baird and he asks, how much usage improvement is attributable to the World Cup and are the buy buttons indicative on an ecommerce push?
Dick Costolo: Thanks Colin, this is Dick. As I mentioned and as Anthony has reinforced it’s really been the case that the World Cup experiences drove engagement, increased engagement from our existing users and it’s been the product changes that we’ve made over the course of the year that have driven new user growth. So that’s how I would categorize that, vis-à-vis the buy button specifically that’s another example of the kinds of explorations we’ve got Nathan and his team are focused on and you will continue to see explorations and other experiments like that.
Krista Bessinger: Great, thank you. Next question please operator.
Operator: Our next question comes from Heath Terry of Goldman Sachs. Your line is now open.
Heath Terry : Great, thanks. Dick is it possible to parse some of the impact that you’re seeing from the new features and some of the user services that you’ve rolling out over the course of the last couple quarters in terms of what that’s having on users and engagement and as Daniel begins to have his finger prints more on the user experience, what kind of I guess sort of road map or timeline would have investors thinking about in terms of really seeing his version of what Twitter is going to look like.
 Goldman Sachs: Great, thanks. Dick is it possible to parse some of the impact that you’re seeing from the new features and some of the user services that you’ve rolling out over the course of the last couple quarters in terms of what that’s having on users and engagement and as Daniel begins to have his finger prints more on the user experience, what kind of I guess sort of road map or timeline would have investors thinking about in terms of really seeing his version of what Twitter is going to look like.
Dick Costolo: Thanks Heath. So vis-à-vis your question about parsing the impact from new users on MAU and/or engagement I would say that we don’t think of it that way and view it as the collection of changes that we’re making in service to delivering value more immediately to users when they come to the platform and create account to log in that are driving that growth. It’s the combination of those things that we have described from the beginning of the year that we’re moving forward on now and not -- we don’t slice those up by feature vis-à-vis the road map and the timelines being Daniel’s vision for Twitter I would say a couple of things specifically. One, the product road map that we talked to you about at the beginning of the year and last quarter is the road map that we continue to leverage and continue to move down the path on and those include organizing content for new users and as I mentioned in my remarks I loved the way we did that during the World Cup with those experiences making it easier to on-board new users and as I mentioned last quarter the continued work on the direct messaging platform that we will be focus the remainder of the year. Not only has Daniel made a great impact in coming to the company along with Anthony and quickly I would say quickly integrated into the fabric of the way we do things here but we’ve also added a number of other folks to the product team or the product leadership team that have done a similarly great job and I like the way they have come in adopted the work that the teams have already been doing in service to their road map and are continuing with that same road map down the future path.
Heath Terry : Great. Thanks Dick.
 Goldman Sachs : Great. Thanks Dick.
Krista Bessinger: Thank you. Next question please operator.
Operator: Our next question comes from Ross Sandler of Deutsche Bank. Your line is now opened.
Ross Sandler : Thanks guys. Just another product related question I guess for Dick. So following up on the comments on non-logged-in experiences, what kind of additional products could we see for that cohort of users? And there has been some chatter out there that Twitter could at some point roll out timeline based on algorithm versus self curation or setting up your own follow list, how complicated is that and how long until we could potentially see a product like that shift? Thanks.
 Deutsche Bank: Thanks guys. Just another product related question I guess for Dick. So following up on the comments on non-logged-in experiences, what kind of additional products could we see for that cohort of users? And there has been some chatter out there that Twitter could at some point roll out timeline based on algorithm versus self curation or setting up your own follow list, how complicated is that and how long until we could potentially see a product like that shift? Thanks.
Dick Costolo: Yes. Thanks Ross. Vis-à-vis the additional products we could see I mentioned that I really again the kinds of experiences we created around topics and live events during the World Cup. We will run a number of experiments to that broader audience those unique visitors I talked about and I wouldn’t want to be specific about the sequence with which roll those out or when you would see those. On your second question, algorithmic timelines for example versus manually curated follow lists I think it’s fair to say that we are not ruling out any kinds of changes that we might deliver in the product in service to bridging that gap between signing up for Twitter and receiving immediate value and you will see a number of kinds of experiments that we produce there.
Krista Bessinger: Thank you. Our next question comes from the Twitter account of Rich Greenfield at BTIG and he has a two part question. The first part of the question is about U.S. user growth and he says, what is the biggest challenge to growing domestic users to 100 million plus? Does the product need to radically change?
Dick Costolo: Yes. Thanks Rich, it’s Dick. The short answer is as I just referred to, it’s that delivering immediate value to new users when they come to the platform and signup for Twitter and shortening that distance between signup and receiving immediate value and no, the product does not need to radically change, we have everything we need to deliver that value to users.
Krista Bessinger: And the next part of Richard’s question is about time line used for MAU. He says U.S. timeline use for MAU fell sequentially, why? Are new users increasingly lighter or less engaged users?
Dick Costolo: So in terms of first part of the question, as it relates to U.S. timeline use per MAU falling sequentially, the U.S. market benefit in the first quarters from some big event to drive engagement specifically the SuperBowl as well as the Oscars and those events are not repeated in the second quarter including the World Cup which we didn’t count timelines for. So that’s why you see that trend in U.S., timeline use per MAU. As it related to the bigger question, our new users increasingly lighter or less engaged users, we would say that the trend that you are seeing currently in timeline use per MAU is really driven by product changes as the predominant driver of that decline. And essentially what we are trying to do is reduce every friction that exists. When a user comes online to find information, they want quickly and easily. And we’ve made small product changes overtime such as media port and other initiatives that make it a lot of easier for someone to find that they want and consume more during the time that they are on Twitter. And so we really encouraged by the trends we are seeing behind these initiatives and we will continue them as Mike mentioned in his prepared remarks.
Krista Bessinger: Thank you. Next question please operator?
Operator: Our next question comes from Peter Stabler of Wells Fargo Securities. Your line is now opened.
Peter Stabler : So Dick a question for you, third-party data suggests that twitting activity along users who signed up in 2012 and 2013 is declining on a sequential basis. First of all is that the case or not sure of course? And then secondly, how should we think about that given that marketers tell us that Twitters are more valuable than passive non-twitting users from an engagement perspective. Particularly when it comes to re-twitting and earned media from an advertizing perspective? Thanks very much.
 Wells Fargo Securities: So Dick a question for you, third-party data suggests that twitting activity along users who signed up in 2012 and 2013 is declining on a sequential basis. First of all is that the case or not sure of course? And then secondly, how should we think about that given that marketers tell us that Twitters are more valuable than passive non-twitting users from an engagement perspective. Particularly when it comes to re-twitting and earned media from an advertizing perspective? Thanks very much.
Dick Costolo: Yes, thanks Peter. I am not going to comment on any third party data or rumors. It remains the case that the majority of our monthly active users are content creators on the platform that includes twitting, replying to twits, et cetera. To your second question, our marketers receive value from everyone who engages with their twits. And neither we nor our marketers make a distinction between whether a active user on the platform as they customer of theirs is a Twitter or non-Twitter and I think that it’s reasonable to assume that all of our monthly active users get engaged with our marketers on the platform are just as valuable to them as any other cohort for the active user.
Krista Bessinger : Great, thank you. Next question please operator.
Operator: Our next question comes from Justin Post of Bank of America Merrill Lynch. Your line is now opened.
Justin Post : My questions are really on high level on ad loads and engagement. I am just wondering if you could tell us where you feel you are on advertising loads. Do you still see a lot of room there? And then on engagement, obviously tremendous growth there, maybe you could call out a few of the fabs that are driving higher engagement, are they ad formats on Twitter cards or is it just better targeting overall by your algorithms? So maybe give us a little help on that. Thank you.
 Bank of America Merrill Lynch : My questions are really on high level on ad loads and engagement. I am just wondering if you could tell us where you feel you are on advertising loads. Do you still see a lot of room there? And then on engagement, obviously tremendous growth there, maybe you could call out a few of the fabs that are driving higher engagement, are they ad formats on Twitter cards or is it just better targeting overall by your algorithms? So maybe give us a little help on that. Thank you.
Dick Costolo: In terms of ad loads, what I’d say is they increased marginally on a quarter-over-quarter basis but they are still very low relative to our industry peers and even the best in class industry peers we still feel like. We have significant upside as it relates to ad load or coverage. As a least engagement, I think it’s important to understand that overtime, as we add new ad formats such as we did this quarter with mobile app downloads, it will have an impact on engagement rates or clicking rates. Specifically to think about the app download card, it’s a card that we don’t get paid and look for with the paper performance mechanism is when the individual clicks on the twit is actually is in the click on the install button and this is a much higher hurdle than just clicking on the twit or re-twitting or some other mechanism to drive engagement. And because that action is further down the funnel, the clicking rates slightly lower but the price that the advertiser is going to pay is higher and that’s a great trade off and we will continue to add different types of add format that could have that type of impact on the mix overall.
Justin Post : Let me follow up. You mentioned a benchmarking versus competitors. When you look at some of the big competitors, do you think your activity as far as time or page views or timeline views is comparable as you think of that some of the other big social networks out there? Thanks
 Bank of America Merrill Lynch: Let me follow up. You mentioned a benchmarking versus competitors. When you look at some of the big competitors, do you think your activity as far as time or page views or timeline views is comparable as you think of that some of the other big social networks out there? Thanks
Dick Costolo: We can make an apples-to-apples comparison as it relates to the commonly used term ad load and that’s what I am making the reference point from.
Justin Post : Great, thanks. I appreciate it.
 Bank of America Merrill Lynch: Great, thanks. I appreciate it.
Krista Bessinger : Great, thank you. And we’ll take the next question from the Twitter account of Tim W. And Tim asks, do you have any plans to add a special mobile app portal for the NFL game like you did for the World Cup?
Dick Costolo: We love the partner as I mentioned earlier Twitter makes other brands and their content better and so we benefit from a ton of world-class partners. The NFL is a partner, last year as I have mentioned we entered into relationship as it related to Amplify Dick mentioned we will continue to look at opportunities to create tailored experiences and so that’s one area and Sports League is something we can look at as we do the World Cup and I know someone at the NFL so maybe I will reach out.
Krista Bessinger: Great, thank you. And operator we’ll take the next question please.
Operator: Our next question comes from Eric Sheridan of UBS. Your line is now open.
Eric Sheridan : Thanks for taking the questions. I guess two on costs, one on the gross margin was up very big year-on-year. I wanted to understand what is driving that improvement in gross margins and how sustainable it is on a going forward basis? And then Anthony on the guide for Q3 it applies EBITDA margins actually go back the other way I wonder what sort of investments might be driving a treat in the EBITDA margin in Q3 based on the guidance you gave since it wasn’t called out on the call? Thanks.
 UBS: Thanks for taking the questions. I guess two on costs, one on the gross margin was up very big year-on-year. I wanted to understand what is driving that improvement in gross margins and how sustainable it is on a going forward basis? And then Anthony on the guide for Q3 it applies EBITDA margins actually go back the other way I wonder what sort of investments might be driving a treat in the EBITDA margin in Q3 based on the guidance you gave since it wasn’t called out on the call? Thanks.
Mike Gupta: Yes hey Eric it is Mike. Just on the gross margin year-over-year what we’re seeing again is as we’ve talked about it as we make these investments into the infrastructure to make sure we can scale with users and usage we’re seeing leverage come into that model as we improve the structure of our infrastructure in those investments. So really it’s just the scale kicking in overtime that you are seeing on a year-over-year basis. And we continue to optimize that infrastructure spend to make sure we’re doing it the most efficient way possible.
Dick Costolo: And then Eric on second part of your question as it relates the guidance I would first start by saying philosophically as we think about guidance, we really want to balance the opportunities versus the risks in a quarter when we give you guidance and that’s what the outlook represents. As it relates to sort of the specific margin question I’ll tell you we want a balanced growth versus investment, the multitude of growth opportunity we have in front of us is enormous and we don’t want in anyway short change the long-term size of the business or opportunity to become largest audience in the world. And so we also want to be prudent though that we’re not investing without any constraint. And if you look at our fiscal year 2014 guidance as a whole we’re guiding to almost 100% year-over-year revenue growth with margin expansion up about 500 to 600 basis points which is a significant amount of profit improvement relative to that fast growth rate. So as you think about the third quarter specifically want to make sure that we’re still investing in the growth opportunities the second quarter 75% of the upside revenue dropped to the bottom line we would have liked to have spend some of that back given the multitude of growth opportunities we have and just didn’t have the ability to do it quick enough so we are going do in the third quarter but still for the full year really deliver that balance of growth and profitability.
Eric Sheridan : Great, thank you.
 UBS: Great, thank you.
Krista Bessinger: Thank you. Next question please operator.
Operator: Our next question comes from Youssef Squali of Cantor Fitzgerald. Your line is now opened.
Youssef Squali : Thank you very much. Two quick questions, first Dick you talked about the hundreds of millions of unique that come to Twitter but don’t log in, just trying to understand why they don’t log in, is it a friction in the process or is it a lack of a value proposition that these guys are seeing and clearly what is it that you’re actually doing short-term to kind of remediate there? And then on the -- my other question is around the MoPub maybe can you just refresh us on the opportunity around that acquisition and it is performance and contribution to the quarter? Thank you.
 Cantor Fitzgerald : Thank you very much. Two quick questions, first Dick you talked about the hundreds of millions of unique that come to Twitter but don’t log in, just trying to understand why they don’t log in, is it a friction in the process or is it a lack of a value proposition that these guys are seeing and clearly what is it that you’re actually doing short-term to kind of remediate there? And then on the -- my other question is around the MoPub maybe can you just refresh us on the opportunity around that acquisition and it is performance and contribution to the quarter? Thank you.
Dick Costolo: Sure. Thanks Youssef. The answer to your first question, Twitter is everywhere right it’s all over TV when the NBA commissioner gets on TV and talked about his sanctions against Donald Sterling there are twits all along bottom of the screen during the course of that discussion. When events happen in the world whether it’s the joy of the World Cup or the tragedy of MH-17 all over television all over the news, all over the news papers people talk about everyone on Twitter is talking about this, this is all happening on Twitter right now. So along with this great work we do in servicing our syndicated audience across the entirety of the web and our TV and news partners they bring all of this attention to the state as users come to Twitter looking for the content they’ve been told is happening and unfolding on Twitter right now and many of them brows around some of them search, some of them look at profiles and obviously from the numbers we’re seeing most of them decide not to log in. So we’re serving this huge syndicated audience we have that growing we’re serving that 271 million monthly active users who do log in well and that’s growing and we feel like we provide limited content to those hundreds of millions of other users who are unique visitors to our proprieties and we see an opportunity, a bit opportunity to serve them just as well as these other two audiences. So that’s how I would frame what you’re seeing in that first group of users there. Your second question, MoPub, we continue to see just that our big best on programmatic buying, mobile buying and the accelerated investment in mobile advertising all map so directly to for the kind of work we’re doing in MoPub and continue to believe that’s just a significant opportunity for us. I will kick it over to Anthony to comment on the future opportunities there.
Anthony Noto: Sure, no problem I would say I would characterize that we are seeing very strong growth of 170 billion ad impressions in the last 30 days request that were fulfilled out from $130 billion in April, so very strong growth there. From a bigger picture perspective, I’ve mentioned the closing of the acquisition of TapCommerce that’s a DSP that we will tie into MoPub which is a mobile exchange. And essentially it allow us to take the demand that we’re seeing both into Twitter and across the web and aggregated across not only Twitter inventory, but network inventory through the exchange that MoPub can help facilitate on this supply side and tap commerce is a nice addition adding additional demand on top of the exchange.
Krista Bessinger: Thank you. Next question please operator.
Operator: Our next question comes from Mark Mahaney of RBC Capital Markets. Your line is now opened.
Mark Mahaney - RBC Capital Markets: Two questions please. In a note about the metrics there is that reference to the 14% of users that making result from automated activity. Can you give us any context around that was it smaller number in the past or a higher number? And then Dick over the last three quarters you’ve talked about it seems like an intense, greater focus on the user expense. So just at a high level, where do you think you are in terms of getting Twitter to the optimal user experience and I am sure there is no optimal but as you -- how much of this is serendipities how much of this is a product plan, product pipeline that you’ve led out over the last three quarters over the last year. How much better can user experience should it get and can it get is the basic question? Thank you.
Dick Costolo: So I will take that second question first and then would go up from there. So thanks Mark, vis-à-vis the greater focus on user experience how much better can it get, to be perfectly frank we think it can be a lot better. We have I think a lot of great thinking on the teams about how we can make it better, surfacing that kinds of great conversation, the pop up in timelines from time to time making sure that for those users we follow hundreds of accounts, they don’t miss the very, very best pieces of those, streams as they flow by and then once again for those users who are new to the platform and are coming to the platforms for the first time getting them value immediately. So I think it’s a case that we believe that across the spectrum of our users, even our core users who are on the product every day, we can deliver much better experience to them and I think the answer to how much better is significantly.
Mike Gupta : Yes, Mark this is Mike. To your first question and I believe the number we disclosed in a fellow slide below the 14% I think closer to 11 but this refers to I think it was 12% actually, it refers to automated poling requests we get from third-party apps and that switches frankly back and forth depending on the application. So I think of that as the high end and we think we are within that. But again these are users who are getting pooled Twitter content and then in any cases they are viewing that content coming in an automated way.
Krista Bessinger: Great, thank you. Next question please operator.
Operator: Thank you. Our next question comes from Brian Wieser of Pivotal Research. Your line is now opened.
Brian Wieser : So while we know the U.S. and the UK are important, I was wondering if you might be able to rank order the next several markets perhaps for revenue or perhaps get some identify which countries contributed disproportionately to growth? And then one separate question just following up on earlier comment you made, 40% of users live in countries where self-service advertising is available. I was wondering how much of your actual ad revenue is self service? Thank you.
 Pivotal Research: So while we know the U.S. and the UK are important, I was wondering if you might be able to rank order the next several markets perhaps for revenue or perhaps get some identify which countries contributed disproportionately to growth? And then one separate question just following up on earlier comment you made, 40% of users live in countries where self-service advertising is available. I was wondering how much of your actual ad revenue is self service? Thank you.
Dick Costolo: In terms of the other countries, in terms of the year-over-year growth rate in absolute dollars, the U.S., the UK and Japan contributed the most in year-over-year absolute dollars to give a perspective on that from a geographic standpoint. In terms of percentage of a revenue that’s coming through self-service, that’s not a metric that we’ve shared and we are not prepared to share at this time. We are encouraged by the impact that self-serve has on the SMB advertiser base and I think it’s a big opportunity for us obviously if it’s only covering 40% of our user base or less than 40% of user base at this point, there is a lot of opportunity ahead of us but at this point the percentage of revenue is not disclosed.
Brian Wieser : I should actually clarify, is the self-service advertising primarily being used by the small businesses or do you see opportunity still for the self-service advertising on the core platform from the bigger brands?
 Pivotal Research: I should actually clarify, is the self-service advertising primarily being used by the small businesses or do you see opportunity still for the self-service advertising on the core platform from the bigger brands?
Dick Costolo: It is primarily SMBs over time as the sophistication of the advertising agencies using our product increases they could also use it but it’s primarily SMB.
Krista Bessinger: Thank you. Next question please.
Operator: Our next question comes from Dan Salmon of BMO Capital Markets. Your line is now opened.
Dan Salmon : Another sort of commerce related one. I’d love to just cheer a little about the Amazon cart test that started in the quarter where that might go with early results you saw from it?
 BMO Capital Markets: Another sort of commerce related one. I’d love to just cheer a little about the Amazon cart test that started in the quarter where that might go with early results you saw from it?
Dick Costolo: Hi, this is Dick. Thanks Dan. I’ve categorized the Amazon cart test as just that another test on we don’t have any specific comments or numbers to share from that test. It’s one of a number of explorations we are doing around that notion of in the moment commerce that we are all very excited about and will continue to do more of that.
Krista Bessinger: Great, thank you. Next question please operator.
Operator: Our next question comes from the Ben Schachter of Macquarie. Your line is now opened.
Ben Schachter : Hey, guys Facebook highlighted that it’s going to be focusing more on key public entities that’s [indiscernible] to get more exclusive content from such entities or do you post on multiple network and then Anthony do you expect to have any meaningful changes to how your present guidance and other financial or operational metrics going forward or are you fairly comfortable with how is presented today? Thanks.
 Macquarie Capital: Hey, guys Facebook highlighted that it’s going to be focusing more on key public entities that’s [indiscernible] to get more exclusive content from such entities or do you post on multiple network and then Anthony do you expect to have any meaningful changes to how your present guidance and other financial or operational metrics going forward or are you fairly comfortable with how is presented today? Thanks.
Dick Costolo: Ben, could you repeat the first part of your question, you broke up as you’re saying.
Ben Schachter : So just like Facebook is focusing on getting more content from public entity such as celebrities, is Twitter going to work to get exclusive content from such entity or do you think [indiscernible].
 Macquarie Capital: So just like Facebook is focusing on getting more content from public entity such as celebrities, is Twitter going to work to get exclusive content from such entity or do you think [indiscernible].
Dick Costolo: Hey Ben, you broke up again, but fortunately you broke up on a different part this time so I think we got just a bit I would say that we love the relationships we have with both those kinds of public figures in all walks of life and the content producers and broadcasters who work with them and the kinds of content that they deliver into Twitter and more confident and love the way that we’re growing both those kinds of relationship I think that will just continue to be a strength for us. And then I think your second question was future guidance and Anthony?
Anthony Noto: Thanks Ben. I was fortunate as banker start working with Twitter under the coverage for the speak over a year ago and really getting a good understanding of metrics and the business and I can tell you in that more than one year that this change meaningfully in a number of different regards giving all the initiatives the company has rolled out and successful in the TV. That’s a long way we’re saying we’ll continuously evaluate what are the best metrics to disclose that best represent the drivers of our business as it relates to building shareholder value. And so as we go into the 2015 planning process we will do a deep dive in all the key metrics and we entirely represent the company to the public investor and make the appropriate changes we find in that time was the very beginning of that there is nothing I will talk about today but it’s a process every year getting how fast to comes innovating and how quickly the business is changing.
Krista Bessinger: Great, thank you. And the question comes from the Twitter account of John and he asks, can you talk about the developer strategy at Twitter are there any new changes?
Dick Costolo: I will just add that we continue to invest in helping developers build into Twitter and providing developer tools to the entire mobile app landscape and just this past quarter Crashlytics, mobile developer FTK added real time analytics capability to their suite of services but now have crash reporting, data testing and analytic. So very excited about the suite of services that they’re building and service to helping developers build better apps and we’ll continue to make big investments there.
Dick Costolo: Great, thank you. And next question please operator.
Operator: Our next question comes from Carlos Kirjner of Bernstein. Your line is now open.
Carlos Kirjner : Thank you. Two quick questions if I may, do you guys believe you can build an accurate reliable graph for visitors and if yes, how? And if not, is it reasonable to assume that the monetization potential for visitors will be significantly lower than the potential for your logged on users. And secondly what are that would causes for the difference in timeline views between domestic and international users and how you can do a both? Thank you.
 Sanford C. Bernstein: Thank you. Two quick questions if I may, do you guys believe you can build an accurate reliable graph for visitors and if yes, how? And if not, is it reasonable to assume that the monetization potential for visitors will be significantly lower than the potential for your logged on users. And secondly what are that would causes for the difference in timeline views between domestic and international users and how you can do a both? Thank you.
Dick Costolo: Hi Carlos this is Dick I will take the first question there. The interesting thing about the different audiences again when you think them in sort of three groups those 271 million monthly active users for whom we have a great interest graph, that audience that we see indication and then thirdly those hundreds of millions of visitors who come to Twitter there is frequently tremendous signal from those visitors who come to Twitter, they may have come directly from specific search intent and then today already when we look at the kinds of profile that many of them view and navigate between you get some great signal for the kinds of content they’ve come to Twitter to consume and we think that long term those kinds of singles will provide us with the data that we need to deliver the right kinds of monetization experiences to that audience. Again I would make very, very clear that we will focus initially and for some time on user experience and make sure we get that right before we go down their path.
Anthony Noto: I’ll talk about the difference between timeline use per MAU U.S. MAU versus the international MAU and the difference in magnitude, point there is the U.S. market obviously more mature as it relates to MAU use one concentrated geography while the international number represents many disperse geographies and in each one of those geographies the amount of content that has been twitted or can be engage with is going to be different in the level of quality and breadth and depth that we have in the United States. And as that breadth, depth and quality improves our content then the consumption measuring timeline use for MAU also change. The other thing I say about the international market is they’re all very different than U.S. the devices they use to access Twitter are very different they talk earlier about some of the issues we have in developing markets and because of that different device the experience is different and doesn’t lend itself to use much consumption, but as devices become more technologically advance with greater penetration we’ll see those two start to converge more.
Carlos Kirjner : Thank you.
 Bernstein : Thank you.
Dick Costolo: Great, thank you. And the next question comes from the Twitter account of Victor Anthony, Capital Market and he says, -- that you can potentially close the monetization gap with the industry overtime, how do you see your business model changing in order to narrow that gap and what level of investment with that require those organically. And so the way I’d answer the question is taking a step a back and thinking about the big drivers of monetization. The first obviously the level of monetization is what’s our ad load. And we are at a very, very low level of advertising load or coverage and we have the significant opportunity to increase that especially relative to our public peers but also just generally. The second driver of our monetization is click-through rate and that’s a function of improving the prediction of the individual users attractive us to that advertising or targetability and also formats to more formats that we can provide advertisers for the specific objective they want to accomplish. From a market perspective, the better the put through rates can be, the more appropriate that pay for performance engagement metric can be to their objective. And then the last point I’d mention is price. And as we continue to drive scale which advertisers are looking for in a specific target, we continue to have new products, that are more targetable and more appropriate for the specific marketing objective, ROI will go up. And as ROI goes up, advertiser demand will increase and that will continue to drive price. So it’s a very wide open opportunity for given where we are in the add load side of the equation and relative to the number of advertisers in the formats that we have. So we think there is a big opportunity to not just reach where industry peers are but potentially to exceed it. In terms of the investment, we don’t see a step wise change in our investment in order to get there we’re just doing more of what we are doing. Building a big audience, giving in the right ad, products that they want, the right data and measurability and targeting and ultimately it will continue to drive the growth that we expect.
Krista Bessinger: Great, thank you. Next question please operator.
Operator: Our next question comes from Arvind Bhatia of Sterne Agee. Your line is now opened.
Arvind Bhatia : A couple of actually, first one is I wonder if you could maybe speak to some of the user trends post the World Cup? And then also in light of how might have been exceeding your guidance for EBITDA margins et cetera. Wondering if that has changed your thinking on the long-term margin potential, which you’ve led out at 35% to 40% in the past. So wondering if that’s starting to change in your mind at all? Thank you.
 Sterne Agee: A couple of actually, first one is I wonder if you could maybe speak to some of the user trends post the World Cup? And then also in light of how might have been exceeding your guidance for EBITDA margins et cetera. Wondering if that has changed your thinking on the long-term margin potential, which you’ve led out at 35% to 40% in the past. So wondering if that’s starting to change in your mind at all? Thank you.
Dick Costolo: So, on the user trends we don’t update the specific monthly user trends. There is an implication in our guidance that could tie back to users we gave you, revenue guidance obviously for the third quarter. We also provided a perspective on the expected trend in revenue per time line view as well as in time line view per MAU and the combination of those three things as well as considerations for seasonality overtime can help you triangulate into MAU number. Bit we remain very optimistic about the product changes that we have and we are just balancing the opportunities versus risks in our guidance to give you a perspective on that specific question. Your second question is long-term margins and the answer to that is no. During the IPO road show to company talked about 35% to 40% long-term adjusted EBITDA margins and that still remains the case for that.
Krista Bessinger: Thank you. Operator I think we have time for one last question please.
Operator: Thank you. Our final question comes from Brian Nowak of Susquehanna. Your line is now opened.
Brian Nowak : I have two. If you go back to Mark’s question earlier on the disclosure on the 14% end users that are being impacted by the application, what would MAU’s have looked like kind of year-on-year or sequentially if we excluded any user that didn’t have any active -- any action involved within and you’ve excluded those guys from the user base? And then secondly, any help on kind of rough-sizing for duplicative accounts. So if I have three accounts, one for Michigan Football, one for politics and one for finance, what -- any idea for kind of duplicative accounts in the MAU number? Thanks.
 Susquehanna Financial Group: I have two. If you go back to Mark’s question earlier on the disclosure on the 14% end users that are being impacted by the application, what would MAU’s have looked like kind of year-on-year or sequentially if we excluded any user that didn’t have any active -- any action involved within and you’ve excluded those guys from the user base? And then secondly, any help on kind of rough-sizing for duplicative accounts. So if I have three accounts, one for Michigan Football, one for politics and one for finance, what -- any idea for kind of duplicative accounts in the MAU number? Thanks.
Mike Gupta: Hey, Brian it is Mike. Yes, just on the 14% and as I mentioned it is up slightly from 12 we saw in Q1. This is I would say is a maximum number so we have many applications that are pulling into Twitter for Twitter content. This is predetermined timelines and twits that users are looking for. So we don’t have a very reliable way to know exactly how many of that -- how much of that pool of activity is actually user seeing that content. So we wanted to be conservative here and share kind of the outer bound but, historically we’ve seen that content is in fact being driven and those actually active users. But we don’t have an actual number that we can share. On duplicative accounts, there is some usage of multiple accounts by single users but again that’s not a number of that we just…
Krista Bessinger: Great. Thank you all for your time. We appreciate you joining us. We look forward to speaking with you again next quarter. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude today’s program you may all disconnect. Everyone have a wonderful day.